Operator: Good day and welcome to the Howard Hughes Corporation First Quarter 2019 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note that this event is being recorded. At this time I would like to turn the conference call over to Mr. David Striph, Executive Vice President, Investor Relations. Sir, please go ahead.
David Striph: Good morning and welcome to the Howard Hughes Corporation's First Quarter 2019 Earnings Call. With me today are David Weinreb, Chief Executive Officer, Grant Herlitz, President, David O'Reilly, Chief Financial Officer, and Peter Riley, General Counsel. Before we begin, I would like to direct you to our website, www.howardhughes.com, where you can download both our fourth quarter earnings press release and our supplemental package. The earnings release and supplemental package include reconciliations of non-GAAP financial measures that will be discussed today in relation to their most directly comparable GAAP financial measures. Certain statements made today that are not in the present tense or that discuss the company's expectations are forward-looking statements within the meaning of the federal securities laws. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. Please see the forward-looking statement disclaimer in our first quarter earnings press release for factors that could cause material differences between forward-looking statements and actual results. We are not under any duty to update forward-looking statements unless required by law. I will now turn the call over to our CEO, David Weinreb.
David Weinreb: Thank you, Dave, and thank you all for joining us today. Welcome to our first quarter 2019 earnings call. Following our most recent earnings call, we asked for your feedback on what would make this time the most effective and beneficial for you. We appreciate the comments that we receive from many of you and have adjusted accordingly. We have reduced our prepared comments substantially to be more succinct and to give you more of the color behind the numbers. In addition we pre-recorded and posted on the Investor Relations tab of our website, our quarterly asset deep dive, which this quarter features our Summerlin MPC. We hope that this will make these calls more productive and allow more time for Q&A at the end. Please listen to the deep dive at your convenience. I would like to take a moment to thank you for your support and for you choosing to invest your capital alongside ours in this special company. We are doing everything we can on a daily basis to attempt to minimize the discount between where the stock currently trades and then net asset value of the company. We've increased our investor communication significantly over the past two years and meet with potential new investors constantly. We've created greater transparency through our supplemental investor report and continue to improve the information quarterly. For example, this quarter we've broken out the Seaport District separately in greater detail than ever before. We've sold non-core assets when the timing was right and have completed share buybacks when large blocks have become available. We will continue to do everything in our power to reduce the gap between our share price and the underlying value of our business. Moving to our first quarter results, I am pleased to report that we had an outstanding start to the year and another productive quarter in creating value across the portfolio. Both our MPCs and operating asset segments had a strong start to the year which Grant will discuss in more detail in a few minutes. In our strategic development segment we increased our stabilized NOI target by $3.1 million to $321 million and completed construction on the Las Vegas Ballpark, our baseball stadium located in the heart of downtown Summerlin next to the practice facility for the NHL's Vegas Golden Knights. The ballpark is the new home of the Las Vegas aviators, AAA baseball team which we wholly own and where we have a 20-year $80 million naming rights agreement for the stadium with the Las Vegas Convention and Visitors Authority. We celebrated the opening of the Ballpark with our home opener on April 9, and I am pleased to tell you that the entire first home stand of seven games was sold out. We could not be more pleased with the stadium and the immediate impact we've already experienced at downtown Summerlin. In addition to generating significant traffic for our retail and restaurants, we expect the Ballpark to be a catalyst for additional commercial development in our downtown as well as further drive demand for our residential land. Moving west to Ward Village in Honolulu, we had another excellent quarter with robust sales of condominiums. We sold a total of 330 homes during the quarter including 314 and our newest building Kô'ula. The building which will have 565 homes and launch sales in January of this year was already 55.6% pre-sold as of March 31, and 58.6% pre-sold as of April 30; an incredible pace of sales. We anticipate beginning construction on Kô'ula later this year. A'ali'i which began construction last September was 81.1% pre-sold as of March 31. To-date we have sold approximately $2.6 billion worth of condominiums and are approximately 92% pre-sold on our six buildings. Interestingly, we have seen a positive shift in the makeup of our buyer demand since we first started sales at Ward Village. With Waiea and Anaha, our first two buildings between 55% and 60% of the buyers were from Hawaii with a balance being from offshore primarily Japan and the continental United States. On our more recent projects we've seen that shift higher. Overall, 67% of our buyers are local residents. We view this as a strong indicator of our market dominance and a driver of our outsized market shares. We talk a lot about numbers of homes, but it is important to remember that our entitlements are limited by square feet and not the number of homes. We have a total of 9.2 million square feet of entitlements including a million square feet of retail. In our completed buildings Waiea, Anaha and Ae'o, we have approximately 1.2 million square feet of residential space. In the projects that are under construction Ke Kilohana and A'ali'I, we have approximately 700,000 square feet of homes underway for a total of 1.9 million square feet. You can see that we still have a long way to go with our entitlements and our vision for Ward Village is stronger than ever. At the Seaport District, we have a net operating loss of $4.2 million this quarter, which was primarily due to funding startup costs for the retail, food and beverage, and other operating joint venture businesses. As previously mentioned, until the district is fully open and we have a critical mass of offerings, we expect to continue to incur operating losses. We remain cautiously optimistic about our long-term success and have not changed our NOI target for this asset in our supplemental. With several restaurants opening in the Pier Village this summer including John George's new restaurant the Fulton, opening next Tuesday we are at an inflection point for the property as we continue its transformation into an iconic and vibrant destination for the city. While we have full confidence in our vision, we are disappointed with the pace of leasing for the remaining office space. We have had strong demand, but due to a variety of factors related to the companies we were in discussions with, we have not yet executed deals for the majority of the space. We've engaged a broader group of companies and are hopeful we will execute deals with synergistic tenants in the coming quarters. As you can see from our supplemental, our revenue at the Seaport more than doubled from Q1 last year as we have had several key openings over the last year including the Pier 17 Rooftop and Corso Como, Cobble & Co., SJP and a number of other tenants. You will also notice a gradual decline in revenue from Q3 last year to Q1 this year, which is a result of the summer concert series coming to an end and closing the Heineken river deck. The Seaport will continue to have much stronger sales in the warmer months and its weakest sales in the first quarter. Although we expect our sales in the colder months to increase substantially once all the districts offerings are open. Despite the recent financial results, we continue to make good progress. The Rooftop at Pier 17 was named the best new concert venue in North America for 2018 at the 30th Annual Pollster Awards in February. We completed our first season of the Pier 17 winter land in March in which we attracted 28,000 skaters to New York's only outdoor rooftop ice rink. In addition, we welcomed new tenants including Seaport News and Fellow Barber. We also unveiled the initial lineup for our second annual summer concert series on the Rooftop and are looking forward to a great summer of concerts and additional restaurant openings. With that I will now turn the call over to Grant to discuss the details of our operational results.
Grant Herlitz: Thank you, David. In our MPC segment, we continue to see strong demand from homebuilders for our residential land driven by healthy fundamentals and demand drivers in the residential home sales markets in our communities which are located in lower cost markets with no state income tax. Our earnings before taxes or EBT was $37.6 million, an increase of approximately 2%. The increase was primarily due to the sale of a 20 acre superpad at Summerlin, which yield an average gross margin of 72.1%. With regard to the decrease in land sales revenues at Summerlin this quarter, it is primarily attributable to the fact that we had extraordinary results in Q1, 2018 when we closed on 45 acres compared to 20 acres this quarter. As David said, it is the nature of the development in sale of residential land in these large scaled communities for sales to fluctuate quarterly. We believe that full-year results are better measurements than quarterly data. We also believe that home sales are a leading indicator of demand from homebuilders for our lands. Home sales in the Las Vegas Valley totaled approximately 10,200 for 2017 and 2018. In 2018 a good portion of those sales were pushed into the first quarter as buyers were attempting to purchase perform mortgage rates increased. New home sales during the first quarter of 2018 were almost doubled out of 2017. 2017 was a more typical year with sales spread across the year, but with a large percentage selling during the typical spring and summer season. The first quarter of 2019 is very similar to the first quarter of 2017. Tomlin has had an incredible run with six straight years of residential land sales in excess of $100 million. It was capped off with a record $145 million in 2018. In addition, as I just mentioned in 2018, Summerlin home sales which are the driver of land sales were 25% higher than in 2017 and 2017 was an excellent year. All this sentiment is very positive on Summerlin and the Las Vegas market as a whole given the economy and the fact that 30-year mortgage rates have dropped to approximately 4%. We've received bids on all of the parcels that we have put out to market so far this year and anticipate another year of land sales similar to 2017 and 2018. Despite a small decrease in lot sales this quarter, the summit continues to perform extremely well and since inception of the joint venture we've closed on 114 lots totaling approximately $360 million and we have 14 more on the contract for approximately $54 million as at the end of the first quarter. We are very pleased with this venture and what is this meant for Summerlin. In Bridgeland, we continue to see robust demand for new homes which is the underlying driver of land sales to our home builders. In the first quarter of 2019, there were 136 new home sales compared to 109 in the same period of 2018, a 25% increase. We believe that this acceleration is due to Bridgeland maturing as a community. It is in the path of growth with excellent access via the Grand Parkway and top notch schools and amenities. This is a testament to our team’s strength in creating short after master plan community environment and a critical reason for our continued success at Bridgeland. In addition, the competitive MPC's in the surrounding area are basically out of land. We are very excited about the future with this incredible community. Turning to our operating asset segment, we increased our first quarter total NOI about $3 million from $43 million in 2018 to $46 million in 2019, this is a 9.4% increase. The increase is largely due to the stabilization of our existing assets and the placing and service of assets completed since the first quarter of 2018. The increases were led by the aristocrat technology buildings in Las Vegas, three used landing in The Woodlands and in flats 10M in apartments in Columbia. As David mentioned, we increase our stabilized NOI target by approximately $3 million from $318 million in the fourth quarter of 2018 to $321 million today not including the Seaport District. The bulk of the increase is due to the commencement of construction of the multitude at 8770 neutrals, a 180,000 square foot built to suit that is 100% leased to Alight Solutions in the Woodlands. We expect total cost excluding land of approximately $46 million and a stabilized NOI of 4.4 million for a yield of approximately 10%. The project is under construction and we expect stabilization in 2020. The increase in our stabilized NOI target was partially offset on moving approximately $1.9 million of projected annual stabilized NOI related to 85 South Street and our share of the Mr. C Seaport to the Seaport District segment. To be clear, this is just a side effect of our creation of the Seaport District as a business segment and not a decline in our expectations for our Seaport District assets. This code is an excellent example of how we continuously create value for our shareholders by transforming our existing land into dynamic operating assets that create additional NOI and shareholder value. With that I'll turn the call over to David O'Reilly for our financial results.
David O'Reilly: Thank you, Grant. I'd like to start with a quick overview of our earnings before summarizing our recent financing activity and then turn to our current leverage in liquidity metrics. I hope that you've been able to review our 10-Q earnings release in supplemental package filed yesterday, which contained details of our financial and operational results. Moving on to our earnings, we completed the first quarter with GAAP earnings of $31.8 million or $0.74 per diluted share as compared to $1.5 million or $0.03 for the first quarter of 2018. This increase was driven by the closings of condominium units at Ae'o at Ward village partially offset by higher operating expenses at the Seaport. The defined FFO was $1.58 per diluted share for the quarter as compared to $0.69 for the first quarter of 2018, the increase again was primarily due to the increase in closings in Ae'o partially offset by higher operating expenses at the Seaport District. Turning to our financings, during the quarter we modified our two self storage facilities to reduce the total commitments to $5.5 million and $5.4 million respectively. We closed on an $18 million construction loan for Creekside Park West and amended the $62.5 million Woodlands Resort and Conference Center financing to extend the initial maturity date to December 30, 2021. As of the end of the first quarter, our total consolidated debt total assets were approximately 43.7% and our net debt to enterprise value closed the quarter at 33%. From a liquidity perspective, we finished the quarter with approximately $453 million of cash on hand. As of the end of the quarter, we had 28 projects in our strategic development segment with anticipating total cost of $4.75 billion. Of that amount we have previously funded approximately $3 billion leaving $1.76 billion in estimated remaining cost. We expect to meet this obligation with a combination of existing construction loans, which at quarter end had approximately $965 million of committed, but undrawn capacity. With anticipated loans of $294 million and $35 million for A'ali'I and Waiea and 8770 new trails respectively and with approximately $74 million of buyer deposits. This leaves a net remaining equity requirement of almost $392 million. We expect to fund our remaining equity commitments through a combination of our free cash flow from operating assets and MPC segments, net proceeds from non-core asset sales and lastly our existing cash balance. Again as at the end of the first quarter with approximately $453 million of cash on hand and net equity requirements of $392 million, we have enough cash and liquidity on hand to meet all of funding commitments without any additional cash being generated from MPC land sales or our operating properties. With that I'll like to turn the call back over to David for closing remarks.
David Weinreb: Thank you, David. As you can see, we had another quarter of strong results and we continue to be thoughtful, creative and opportunistic in allocating capital in a manner that we believe best increases the value of the company for our shareholders. And as I said in the beginning of the call, you can also be assured that we will continue to do everything in our power every day to reduce the gap between the share price and the underlying value of our business. We appreciate your continued support. Thank you for joining us today and please listen to our Summerlin's deep dive at your convenience. With that I will open up the call to Q&A.
Operator: [Operator Instructions] Our first question today comes from Craig Bibb from CJS Securities. Please go ahead with your question.
Craig Bibb: Hi guys. Another phenomenal quarter of condominium sales. Have you decided on one or two towers per year?
David Weinreb: We're in planning currently, but that decision won't come till really we're right upon it. Certainly we're going to be bringing another - our goal is to bring another tower to the market within the next 12 months and we'll follow with a tower after that as soon as it's sensible to do so. But we're going to be prepared for sure because of the strong sales that we've had.
Craig Bibb: It's helpful that you guys don't break out the Seaport and including the managed businesses. Is the plan to manage these businesses long term or is that kind of an interim step?
David Weinreb: We're still studying that. We're going to do the smartest thing for the asset long term. We feel good about the way we've structured the deals that was step one, and over time we will find a way to maximize our participation in each of those deals and we may very well seek a third-party to do that for us.
Craig Bibb: And then the Seaport loss $7 million, [EBIT] [ph] $4 million NOI in the first quarter, is that going to step up as more managed businesses open?
David O'Reilly: I think it's fair to say Craig that a lot of the losses that were associated with the Seaport are pre-opening losses that are not capitalized as you would see with traditional real estate and that's associated with opening some new businesses this quarter given that we will be opening more restaurants and more businesses over the coming quarters, I would expect that those will continue.
Craig Bibb: It's just the last question for David. Hudson Yards is getting a lot of publicity, it's soaking up a lot of tenants, is that a hurdle for the Seaport and is it affecting the timing of the way you're going to open things?
David Weinreb: I don't think it's a hurdle. I don't think we compete. I think they did a great job as we understand. The restaurants are busy. I don't have a direct line on how their retail sales are doing, but we feel good about our positioning in the market. We feel great about the operators that we hand chose. We have a lot less restaurant venues than they do and ultimately our food hall is going to be a very, very dynamic finale if you will to the construction when we get it open and we're still targeting the end of next year.
Craig Bibb: Thanks a lot.
Operator: Our next question comes from Scott Schrier from Citi. Please go ahead with your question.
Scott Schrier: Hi good morning gentlemen. I wanted to ask you to start off a little bit on the Woodlands. You had commenced construction of another building out there. You had an increase in land sales, we were out there in March and activity looks pretty strong. Can you just talk about on the commercial side, how you're thinking about the development pipeline in terms of what kind of pace and what the opportunities are there for a further commercial development at this point?
Grant Herlitz: Scott, its Grant. It's a good question. Obviously every week we get updated reports on how our leasing is doing in each of the different product types. If we start we're seeing tremendous demand and rent growth in our multifamily, we're very pleased to that every sector, Creekside park is leasing up very well and our existing three assets are, we're increasing rental growth every week and seeing effective rents increase in those properties. We're obviously in planning stages for more multifamily. We expect to launch at least one unit, at least one building this year in that. In Bridgeland the same goes for multifamily. We're bringing online Lakeside Row and hopefully we'll see good demand for that product as we bring that first commercial multifamily building into Bridgeland. In terms of office, we have very little contiguous space available in any of our buildings, we announced obviously the A'ali'i transaction which is a built-to suit which we're very pleased that there's demand for office in that market and we continue to see rent growth. We continue to see great absorption and we're again planning to launch a building in the year, obviously different factors may affect that as things progress either economically or macros look at where the Woodlands is. But we're ready to launch those buildings as we see fit. Our hospitality business is growing and we're very pleased with that even though the Houston market has saturation of hotels, we're not seeing that in the Woodlands and we're seeing prices stabilize. Our ADR increased and occupancy increased, the Weston, I'm sorry the Embassy just got, received a number of awards in its class that we're very pleased and we are in designs on different hospitality buildings across the portfolio but that's a very different product type and it's an expensive product to replace. So we're very focused and disciplined on when to launch that building. So waiting for those buildings so when we think the time is right we will do that and I think that's it for our products.
David Weinreb: And as it relates to hospitality and any expansion we might do, we largely see that in these small cities as amenities that we need to grow our office market and apartment market. So you'll hear that around any announcement we make over time.
Scott Schrier: Got it, thanks for that. And then, one on Bridgeland obviously you had a nice ramp up in your acreage sales. I noticed though there was a year-on-year decline in margins and I'm curious if that's just a function of GAAP accounting or if you saw a decline on the cash margin side and as we go forward, how you're thinking about cash margins in Bridgeland?
Grant Herlitz: Yes, obviously most of the -- [indiscernible] financed a lot of the business, so our margins are pretty stable and we're seeing an increased growth in lot pricing, we're very focused on making sure we ramp up pricing in an orderly manner. But what's really encouraging about Bridgeland is the demand for the product and not only the demand for the land from homebuilders, but ultimately the demand for homes from buyers and we're seeing that across all spectrums of pricing. We've had a very first quarter and we had a very good April.
Scott Schrier: Got it and then more on Summerlin, you spoke to all the developments that you're having there, understanding your year-on-year acreage sales were down because of particularly strong quarter you had there last year, but in your press release when you show actual new home sales activity in Summerlin it seemed to be down year-on-year also. Is that just a 1Q thing or a blip and nothing indicative of the housing market over there?
David Weinreb: I think 2018 was an extraordinary year and in the first quarter there was a huge demand for home sales in Summerlin as rates were moving up. I think rates have pretty much stabilized and we feel that 2019 is very, very similar to that of 2017. They're very orderly market and we feel good about the way homes are selling in that market. There's tremendous demand for the product from national and public homebuilders who have a great appetite to take down more product than we have available to sell to them. So I think we're very pleased with the results and we know that driving that business will drive further demand for the commercial product and the opening of the Ballpark, there was a 14 month construction time with 10,000 visitors showing up on opening day, April 9, with our retail sales up in the week that they were there is proof that driving up the 7-year journey to bring the Las Vegas Aviators to Downtown Summerlin is going to be well worth our time as well as driving land values and retail and home sales to make sure that our business continues to perform.
Operator: And our next question comes from Vahid Khorsand from BWS Financial. Please go ahead with your question.
Vahid Khorsand: Good morning. Thank you for taking my call. First question, I believe on the last call you had said that Ke Kilohana project would start to be delivered this quarter to the third quarter. Can you update us on the time line?
Grant Herlitz: We are still on track to deliver by the end of the second quarter.
Vahid Khorsand: So most of the sales would -- 
Grant Herlitz: It might slip into the third quarter but only because we closed a number of units over an orderly period of time to allow our customers to move in and enjoy the experience, but we are a 100% sell out in the building and it's just a matter of closing those units.
David Weinreb: And everything is on track as we originally thought there.
Vahid Khorsand: Okay. So -- but most of those -- you recognized most of the sales in the third quarter then?
Grant Herlitz: Second or the third quarter, but I would say some of it in the second some it is early third, most of them in the second.
Vahid Khorsand: Okay. And then earlier in the call you were just saying how the mix of ownership is becoming more local. Does that mean as you're planning out for the future you're going to look more toward workforce housing or lower price per square foot units?
David Weinreb: Well, our goal is not lower price. Our goal is finding that sweet spot in the market that appeals to more people in that market which is why we have created what we call the luxury micro product. Now everything is not micro, but the units are smaller than our original two buildings and we're very pleased with that model.
Grant Herlitz: And we'll also -- just to add to what David is saying, the price per foot is not nearly as relevant as the nominal dollar pricing of the unit sales. And we're seeing really strong demand for product under $2 million. So when we're designing these buildings and designing the unit mix we're designing them to make sure we cater to that product. And obviously the smaller we can go and the higher than nominal dollar pricing is so high, the dollar pricing is per foot but it's really a nominal pricing in exercise in this market rather than a dollar per foot pricing exercise.
Vahid Khorsand: Okay. And then my next question more of a general observational or that you can give on Seaport. Were you just too optimistic in what you could do right off the bat in Seaport and you're finding now trying to find a new pathway for it? Or what exactly I mean on the grand scheme of things looking at it from 10,000 feet up in the air what do you think has changed from the time you're sort of planning Seaport?
David Weinreb: As we look at it today, our plan is very much on track. We have had some significant delays in the approval process that were not expected when we originally embarked on our redevelopment, but we're very pleased as it relates to the office space that we have we've been very very close to a couple of dynamic deals literally where we had leases out. And sometimes the luck goes your way and sometimes it doesn't, but we still are optimistic that at the end of the day this asset will deliver as we originally expected it to.
Operator: Our next question comes from Alexander Goldfarb from Sandler O'Neill.
Alexander Goldfarb: Hey, good morning. David just maybe following up on the Seaport. Office leasing after you guys got the ESPN, you guys are pretty bullish on other office prospects. Certainly the floor plates would seem to appeal toward the TAMI tenants that want big flat, floor plates obviously it is an unique offering. So as far as the weakness in the office leasing for it, was there something like with our few tenants who decided that they took space like elsewhere meaning they went back to more traditional space? Or you know meaning is it something in the Seaport itself that they decided, -- we'll go back to traditional floor plate or traditional building? Or was it maybe just logistics of where their employees work or something else?
David Weinreb: I don't think it's either of those things. I think this space is very dynamic appealing space as evidenced by not only ESPN but also the Nike lease. And the tenants that came in and/or didn't sign in several cases, one particular tenant needed more expansion than we could offer, so that was a limiting factor. And the other tenant, literally there were leases out and they just decided to put that project on hold for a period of time. They could be back and they be an amazing fit for what our long-term goal is for the property. So it's just got to be the right thing. We're also pressing rents at the highest level in lower Manhattan and we don't see any reason to change that. But we certainly do want to sign leases. And when we find the appropriate tenants we'll be excited to announce them.
Alexander Goldfarb: Okay. And then on the -- out in Hawaii I realize obviously you guys are not a REIT, but it's a whole legislation discussion about maybe taxing or not allowing the REIT dividend deduction out there. Does in any way the legislation that they're talking in any way impact you guys? Or the way it's being drafted versus the way you guys are incorporated what have you -- there's no impact at all?
Grant Herlitz: I would say I won't believe there's an impact and we haven't fully studied it yet. Obviously we're C Corp [ph] we actually were a state, we were a REIT, but state income tax purposes at one point in time, but we dissolved the REIT for the reasons obviously discussed. We're still researching it but I'd say at this point there's no effect.
Alexander Goldfarb: Okay. And then just finally David you mentioned earlier in your opening remarks about wanting to close the NAV gap. Obviously on prior calls we've discussed whether the Seaport is a drag on the company because clearly you guys are doing great in the other parts, the Seaport unfortunately is a little slower and unfortunately is here in New York where we all see it. But as far as closing the NAV gap, what are you thinking about as far as these publicly disclosed that would provide some way to understand how that gap may close?
Grant Herlitz: Let me try to take that. I think the way that a gap closes is by our invested understanding that our business moves based on increasing price per acre in Hawaii and condo sales and obviously stabilizing the Seaport. Those are the four major fundamental metrics that you need to measure our business. And in our quarter which was an excellent quarter in my opinion we've done just that, on at least three of them okay? The Seaport had obviously taking a lot longer, but at the end of the day if you would -- if you understand the value of our company and you split it into its parts and to create some of the parts value based on product type, on land value and on condo sales you get to a value that is way above where the market is trading the stock. We can't -- we don't disclose any NAV obviously because that's based on a number of different assumptions that different investors have based on different appetites for risk, but our business is solid. Our fundamentals are strong and our investors what we need to do every day is push out that information to our investors in the hope that they recognize that.
David Weinreb: To follow-up on that Alex, I would say look everything is on the table with this management team and our board and you've seen us follow through on a number of other activities not only that to try and close the gap to NAV but also try to drive the NAV higher on a daily basis which is really why we come to work every day. And whether that's through a share buyback through sale of non-core assets through looking at joint ventures or looking at anything as it relates to all of our assets. There's no stone that we won't turn over to try to A, drive the NAV of this company higher; and B, close that gap.
Alexander Goldfarb: Listen I appreciate that. I think everyone realizes the value certainly in the Woodlands in Summerlin, Ae'o what you guys have created in workforce housing at Ward Village is really remarkable and it's great as stunning as it is. So I don't know if it's purely just the Seaport and maybe that's an asset worth JV-ing as a way to sort of relieve pressure on the stock, but I think you guys have been doing a good job on relaying the value creation. But look any further help that you can do is great because certainly there is value but there is this disconnect that I think everyone talks about.
Grant Herlitz: Understood Alex.
Operator: Our next question comes from Alex Barron from Housing Research Center.
Alex Barron: I was hoping you could comment on the timing you expect for I guess deliveries of the other two towers that you sold or you started more recently the A'ali'i and Ko'ula.
Grant Herlitz: Alex, A'ali'i will be delivered I think in 2021 first quarter of 2021. It's in our supplemental. And Ko'ula we have not launched construction yet but based on our pre-sales, we hope to be able to launch construction later this year. And at that point in time we'll give guidance on when the tower will be completed.
Operator: [Operator Instructions] Our next question comes from Martin Hirsch from Hirsch Association.
Martin Hirsch: Thank you for a wonderful quarter. As a investor I look back five years ago when the stock was selling at $147 and today it's $107. My question is I think it's very important to satisfy your investors to some degree in the form of possibly a buyback or a dividends or more institutions can buy your stock or may be a spin off to possibly a REIT or getting rid of some of those non-operating assets so you could use them as a stock dividend or another form of dividend or whatever. But waiting here for five years to see the stock still where it is, is very disconcerting especially considering the net asset value of the company is much higher. So if you could comment on that I would certainly appreciate it.
David Weinreb: Martin, as shareholders as well we sympathize and we share your frustration. And all the things that you've mentioned in part of your question of alternatives that are available to the company are thoroughly debated and engaged and reviewed. And if there were a magic bullet or the perfect solution that would unlock value tomorrow there's no doubt that we would sprint to go execute it and get it done. I don't think it's just that simple. I think there's more to it but I think that it's fair to say that as a board and as a management team there's nothing that we've taken off the table or nothing that we won't evaluate to help unlock that value.
Peter Riley: And I think Grant said it well as it relates to what our investor should focus on but as David said there's not a day that goes by that we're not completely focused on what we need to do to make that happen. There's no way notwithstanding where the stock has been that you can't see the progress, the significant progress that the company has made in growing our value over the last five years. It hasn't shown up at times. Remember last year at one point we were at $141 which was quite a bit higher than we are now. So there have been glimpses of moments when we've been more satisfied even though we were still under NAV, but just rest assured that we're spending every moment that we can focused on figuring that out and we will figure it out.
Grant Herlitz: And just to give you some understanding. The complexity of the company is what makes it so great. The fact that we control these small cities and are able to dominate our markets allows us the ability to continue to increase price and bring on supply at a measured pace to grow NAV in each of our communities. The complexity causes those investors who are singularly focused on a product type do not understand or pay value to what we're able to do. To split those assets up in any way, shape or form is a way to destroy value ultimately. So while it might be a sugar high today it will cost the company billions of dollars of value over the long term. So that's the key distinction. I think it's as frustrating as it is for investors for us what you can look to is the ramp-up in our NOI at the measure of us creating value and the ability for us to bring on assets and returns on costs that far surpass the ability of other investors across the U.S. or real estate investors to bring assets on because they have to acquire the land at market and cannot control those cities. That's the magic recipe we have. Unfortunately, we're not getting recognized for it today. And we will continue to do that, continue to drive value, continue to drive NAV growth. And at some point that NOI is going to be a monster NOI that you will not be able to ignore.
Martin Hirsch: Well. I certainly appreciate that but how about just giving a very small dividend so that institutions who can only invest in dividend-paying stocks will invest. And how much will that take out of your equity to do it? I mean to me it's just a very simple matter of just giving a small dividend to some of these firms that cannot invest in your company.
Grant Herlitz: So we balance our need for capital based on the returns that are driven through either stock buybacks dividends or asset growth. And we feel as a management team that we're far better off investing our capital in the assets we know rather than diluting the equity of our shareholders that already exist today. We want to show you a higher return rather than a lower return.
Martin Hirsch: Well I know you bought stock back from one firm at $124 and today the price is $107. So to me it seems that a buyback would be certainly very beneficial.
David Weinreb: It's absolutely something that we evaluate all the time.
Martin Hirsch: Okay. Thank you for your time and I certainly appreciate it and I can say you're doing a great job.
Operator: And ladies and gentlemen with that we'll conclude today's question-and-answer session. I'd like to turn the conference call back over to management for any closing remarks.
David Weinreb: Well thank you again for joining us today. We so appreciate your continued support your interest your questions. You know that we're always available to answer any questions we can and we look forward to speaking with you if not sooner on our next quarterly call. Bye for now.
Operator: Ladies and gentlemen that does conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.